Operator: Good day, and welcome to today's conference call to discuss Stratasys Ltd.'s fourth quarter and full year 2025 financial results. My name is Donna, and I am your operator for today. A question-and-answer session will follow the formal presentation. As a reminder, I would now like to hand the call over to Yonah Lloyd, Chief Communications Officer and Vice President of Investor Relations for Stratasys Ltd. Mr. Lloyd, please go ahead.
Yonah Lloyd: Good morning, everyone. And thank you for joining us to discuss our 2025 fourth quarter and full year financial results. On the call with us today are our CEO, Dr. Yoav Zeif, and our CFO, Eitan Zamir. I would like to remind you that access to today's call, including the slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call and access to the slide presentation will be available and can be accessed through the Investor Relations section of our website. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including without limitation, those regarding our expectations as to our future revenue, gross margin, operating expenses, taxes, and other future financial performance, and our expectations for our business outlook. All statements that speak to future performance, events, expectations, or results are forward-looking statements. Actual results or trends could differ materially from our forecast. For risks that could cause actual results to be materially different from those set forth in forward-looking, please refer to the risk factors discussed or referenced in Stratasys Ltd.'s annual reports on Form 20-F for the 2024 year and for the 2025 year, the latter of which will be filed with the SEC on or about today. Please also refer to our Operating and Financial Review and Prospects for 2024 and 2025, which are included as Item 5 of our annual reports on Form 20-F for 2024 and 2025. Please also see the press release that announces our earnings for 2025, which is attached as Exhibit 99.1 to a report on Form 6-K that we are furnishing to the SEC today. Stratasys Ltd. assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. As in previous quarters, today's call will include GAAP and non-GAAP financial measures. The non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Non-GAAP to GAAP reconciliations are provided in tables in our slide presentation and today's press release. I will now turn the call over to our Chief Executive Officer, Dr. Yoav Zeif. Yoav,
Yoav Zeif: Thank you, Yonah. Good morning, everyone, and thank you for joining us. Our fourth quarter performance caps a year in which we successfully maintained our operational discipline, delivered solid cash flow generation, and protected our margin profile. We demonstrated once again the resilience that distinguishes Stratasys Ltd. Importantly, even in a market environment marked by macro spending constraints, we continued to improve our position in our focused target areas, as we drove positive cash flow and profitability, setting us apart from our industry peers. To that end, as we share each year, in 2025, we generated 37.5% of our revenues from manufacturing, up from 36% in 2024 and from just over 25% when we started tracking in 2020. We expect to see this percentage continue to grow every year, which we see as a key driver of consumables utilization to help deliver increased margins. Throughout 2025, our focus on additive manufacturing delivering compelling solutions relative to conventional production resulted in robust customer engagement that was strategically focused. We have made meaningful progress building on the foundational infrastructure of our highest-value target use cases, which notably grew in revenue year over year, led by aerospace and defense, as well as automotive tooling, dental, and medical. These are not transient opportunities. They represent durable competitive advantages that position us for sustained leadership as market conditions normalize. Our long-term value strategy continues to center on the powerful megatrends reshaping global manufacturing: increasing aerospace and defense budgets, the corporate drive for efficiency, cost optimization, supply chain localization and onshoring, next-generation mobility platforms, advancing sustainability mandates, and mass personalization. These secular forces have intensified, and they align directly with additive manufacturing core trends. Our commitment to innovation remains unwavering. Supported by a strong balance sheet and continued R&D investment, our cutting-edge product, materials, and software capabilities cement our industry leadership. As we enter 2026, we do so with proven operational excellence, strategic clarity, and the technology portfolio to capitalize on the inevitable return of customer spending. Importantly, in the fourth quarter, we delivered $9.2 million in adjusted EBITDA, a 6.6% margin, and $0.07 in adjusted EPS. We remain confident that when capital spending constraints ease, our operational efficiencies will result in sustainably higher profitability in coming years. We continue to maintain a healthy balance sheet of $244.5 million in cash and equivalents and no debt. This provides stability and optionality that will support our growth through both organic investments and accretive acquisition opportunities. Stratasys Ltd. is a world leader in industrial polymer 3D printing for high-requirement use cases. We provide comprehensive solutions that include innovative, reliable hardware, the largest portfolio of materials in the industry, award-winning software, post-processing, and a full suite of services and support for complete end-to-end workflow solutions. Our leading example of our requirements is aerospace and defense. It is our largest contributing target sector, highlighted in the fourth quarter by the announcement of our transformational partnership with Airbus, which produced over 25,000 flight-ready parts last year using our ULTEM 9085 filament. This brings the total certified Stratasys Ltd. parts in active service at Airbus to more than 200,000 across the A320, the A350, and A400M aircraft. This collaboration demonstrates true production-scale additive manufacturing, delivering 43% weight reduction, 85% lead time reduction, and eliminating minimum order quantities while enabling distributed manufacturing that reduces aircraft downtime and supply chain risk. Beyond Airbus, we are seeing comprehensive solution adoption across the commercial sector. Boeing 737 Innovation Center purchased two of our newest F3300 printers for production tooling in the fourth quarter, and another leading aircraft manufacturer acquired two more F900s for flight-grade parts, increasing their fleet to nine Stratasys Ltd. systems. We also secured strong sales to several major U.S. drone companies for applications such as power production and wind tunnel testing, with expanded demand from traditional defense primes in unmanned and space sectors. In fact, in 2025, our top three customers at our SBM parts manufacturing division are all large military drone suppliers, and our fourth quarter sales spanning from startup to traditional primes across multiple F3300 and F900 systems for flight-grade parts, supported by high adoption of premium service contracts position us at an inflection point where certified additive manufacturing is becoming mainstream across aviation globally. Automotive continued to demonstrate strong momentum, highlighted by major wins with leading manufacturers deploying our advanced technologies for production applications. Subaru of America became among the first customers to implement our new T25 high-speed head for the F770 printer, achieving over 50% reduction in tooling development time, 70% cost reduction in prototyping and tooling, and nearly twice the printing speed on large parts compared to standard heads. This breakthrough enabled Subaru to consolidate production in-house, improving repeatability while reducing reliance on outsourced manufacturing with eight to twelve weeks lead times. Additionally, Rivian’s extensive deployment of 28 Stratasys Ltd. systems demonstrates our technology’s scalability, with the F900 system operating at over 90% utilization and newer F3300s delivering nearly twice the printing speed, processing 6,000 requests annually, equaling tens of thousands of parts used in product development, tooling, and production. And we are proud to congratulate our performance partner McLaren Formula One on winning the 2025 Constructors’ and Drivers’ Championships, where they leverage our SLA, FDM, and PolyJet technologies to support race-winning innovation. These partnerships exemplify how our automotive manufacturers are integrating additive manufacturing into production workflows, from Formula One racing innovation to electric vehicle manufacturing, positioning us strongly within the rapidly evolving automotive market. Now let me touch on some recent partnership updates. Evidencing our progress in workflow solutions, we have partnered with nTop, a leading generative modeling design and simulation software company, to integrate their nTop simulation technology into our GrabCAD Print Pro. This creates the industry's first complete validated workflow for FDM that no other 3D printer manufacturer offers. This eliminates costly trial-and-error testing, reducing validation time from weeks to hours, with early customers achieving up to 35% weight reductions on load-bearing parts. The solution positions Stratasys Ltd. as the production-ready additive manufacturing leader, with early access launching in Q2 2026 for our F3300, F900, and Fortus 450mc systems. We also recently announced two new partnerships. We launched our post-processing partnership program with PostProcess Technologies, a company revolutionizing additive manufacturing with the only automated end-to-end post-processing solutions for 3D-printed parts. As the first partner in this area of focus, they enable customers to purchase validated post-processing equipment through a single Stratasys Ltd. order alongside our systems. This simplifies procurement, reduces sales risk, and addresses the complexity of manual post-processing by providing an integrated solution, guaranteeing compatibility across our FDM, PolyJet, SLA, and P3 technologies. This alignment positions us to capture more value across the entire additive manufacturing workflow. And on the go-to-market front, we recently partnered with Oak Ridge Systems, a leading award-winning provider of additive manufacturing engineering and manufacturing tools, technology, services, and training in the U.S. and Canada. The collaboration will expand market reach by adding our PolyJet, SLA, and P3 technologies to their portfolio as we target aerospace, automotive, medical, and industrial customers. This collaboration leverages Oak Ridge's application expertise and customer proximity to accelerate adoption of our industrial printer suite, strengthening our American sales capabilities and driving industrial additive manufacturing momentum. Building on the success of our industrial customer advisory board, which has brought together 14 manufacturing leaders such as Boeing, Toyota, Lockheed Martin, and TE Connectivity to advance additive manufacturing at scale, Stratasys Ltd. has also established a new medical advisory board. Both are focused on strengthening collaboration with industry leaders to drive innovation and to accelerate the adoption of 3D printing in their respective industries. This new medical-focused board convened clinical and med-tech experts in healthcare. The board is focusing on the unique requirements of medical-grade applications, regulatory alignment, and patient outcomes. Initial members include eight senior executives from leading medical technology companies such as Medtronic, the world's largest medical device manufacturer, and Edwards Lifesciences, global leader in structural heart disease and critical care technologies, alongside other organizations spanning pharmaceutical, cardiology, orthopedics, and clinical education. To sum up, time and again, some of our most exciting use cases are in the most demanding environments and under the most unforgiving conditions. This includes aerospace and defense applications and advanced manufacturing workflows across a multitude of industrial sectors. We continue to deliver differentiated products and solutions to customers as we further penetrate production applications at scale, supported by strategic partnerships that provide complete end-to-end additive manufacturing solutions, including simulation, post-processing, and expanded channel reach. The stage is set for sustained growth based on accelerated adoption of additive manufacturing in mission-critical applications where customers are achieving measurable operational improvements and moving beyond prototyping to true production-scale manufacturing. I will now turn the call over to Eitan to share the financial results and our initial outlook for 2026. Eitan?
Eitan Zamir: Thank you, Yoav. And good morning, everyone. Our fourth quarter results underscore the operational discipline and financial resilience we have built throughout 2025. Despite persistent revenue headwinds and margin pressures that characterized the year, we delivered positive adjusted operating income and adjusted EBITDA, strong operating cash flow generation, and solid adjusted earnings per share for the full year. This performance reflects the sustained benefits of the cost-control initiatives implemented in mid-2024, which are now fully embedded in our operating model, as well as our team's continued focus on execution and efficiency. The diversification of our revenue streams continues to provide stability through the cycle and distinguishes our financial profile relative to peers in the sector. As we look to 2026, we remain committed to maintaining this operational rigor while preserving the strategic investments necessary to sustain our technology leadership position. For the fourth quarter, consolidated revenue of $140 million was down 6.9% as compared to the same period last year. Product revenue in the fourth quarter fell to $97.6 million compared to $105.1 million in the same period last year. Within product revenue, system revenue was $37.8 million, 18% higher sequentially from the third quarter. This compares to $46.7 million in the same period last year, as constrained capital budgets continue to impact customer buying behavior for new systems. Consumables revenue in the fourth quarter was $59.8 million, up 2.4% as compared to the same period last year. Service revenue was $42.4 million for the quarter, compared to $45.3 million in the same period last year. Within service revenue, customer support revenue was $29.6 million, compared to $30.6 million in the same period last year. For the full year 2025, consolidated revenue was $551.1 million, compared to $572.5 million in 2024. Product revenue in 2025 was $380.3 million, compared to $392 million in 2024. Within product revenue, system revenue in 2025 was $131.6 million, compared to $140.3 million in 2024. Consumables revenue was $248.7 million in 2025, compared to $261.7 million in 2024. For the full year 2025, service revenue was $170.8 million, compared to $180.5 million in 2024. Within service revenue, customer support revenue in 2025 was $119 million, compared to $124.7 million in 2024. Now turning to gross margins. GAAP gross margin was 36.8% for the quarter, compared to 46.3% for the same period last year. The results reflect higher restructuring charges, the tariff impact, lower revenues, and change in mix. Non-GAAP gross margin was 46.3% for the quarter, compared to 49.6% for the same period last year. The year-over-year change in gross margin was the result of the tariff impact, lower revenues, and change in mix. GAAP gross margin was 41.2% for the full year 2025, compared to 44.9% for the same period last year. Non-GAAP gross margin was 46.9% for the full year, compared to 49.2% in 2024. The full-year decline in non-GAAP gross margin was a result of the tariff impact, lower revenues, and change in mix. GAAP operating expenses were reduced to an improved $72.2 million for the quarter, compared to $79.4 million during the same period last year, and non-GAAP operating expenses were reduced to an improved $60.8 million, compared to $65.2 million during the same period last year, reflecting the impact of cost-saving initiatives previously discussed. Non-GAAP operating expenses were flat at 43.4% of revenue for the quarter, compared to 43.4% for the same period last year. For the full year, non-GAAP operating expenses were 45.4% of revenues, as compared to 48.4% in 2024, primarily due to the cost-saving measures associated with the restructuring plan we announced in August 2024 that had a full-year impact in 2025, as well as the additional cost initiative we introduced in 2025. In absolute dollar terms, non-GAAP operating expenses were $26.7 million lower in 2025 as compared to 2024, due in part to the cost-saving measures from our restructuring plan. Regarding our consolidated earnings for the quarter, GAAP operating loss for the quarter was $20.8 million, compared to an operating loss of $9.7 million for the same period last year. The change was due primarily to the lower gross profit, partially offset by the lower operating expenses. Non-GAAP operating income for the quarter was $4.1 million, compared to $9.4 million for the same period last year, reflecting the lower gross profit, partially offset by the lower OpEx due to the cost-saving measures associated with the restructuring plan. GAAP net loss for the quarter was $18.9 million, or $0.22 per diluted share, compared to a net loss of $41.9 million, or $0.59 per diluted share for the same period last year, which included the non-cash impairment charge of $30.1 million, or $0.42 per diluted share, related to the investments we made in UltiMaker as part of the merger with MakerBot. Non-GAAP net income for the quarter was $6.2 million, or $0.07 per diluted share, compared to net income of $8.5 million, or $0.12 per diluted share in the same period last year. Adjusted EBITDA was $9.2 million for the quarter, compared to $14.5 million in the same period last year. This equates to 6.6% EBITDA margins, compared to 9.6% in 2024. Regarding our consolidated earnings for the full year 2025, GAAP operating loss was $72.5 million, compared to a loss of $85.7 million for 2024. Non-GAAP operating income for the year was $8.3 million, compared to $4.9 million in 2024. This equates to 1.5% non-GAAP operating margins, compared to 0.9% in 2024. GAAP net loss for the year was $104.3 million, or $1.28 per diluted share, compared to a net loss of $120.3 million, or $1.70 per diluted share for last year. Non-GAAP net income for the year was $12.7 million, or $0.15 per diluted share, compared to $4.2 million, or $0.06 per diluted share last year. Adjusted EBITDA of $28.5 million, 5.2% of revenue, compared to $26 million, or 4.5% of revenue in 2024. The 9.6% increase reflects the improvement or decrease in operating expenses that more than offset the lower revenues and gross margins. We generated $4.8 million of cash from operations during the fourth quarter, compared to $7.4 million in the same quarter last year. For the full year, we generated $15.1 million of cash from operations, compared to $7.8 million in 2024. We ended the year with $244.5 million in cash, cash equivalents, and short-term deposits, compared to $255 million at the end of 2025. Our balance sheet and cash generation profile remain strong, supporting our ability to capitalize on value-enhancing opportunities. Now let me turn to our outlook for 2026. We expect 2026 revenue to be in the range of $565 million to $575 million, with revenues growing sequentially each quarter through the year, resulting in higher revenues in the second half of the year as compared to the first. For the year, we expect consumables revenue in 2026 to increase over 2025. We also expect the first quarter to have the lowest revenue and profit margin profile on a relative basis to the rest of the year. Non-GAAP gross margin for 2026 is expected to be in the range of 46.7% to 47.1%, with the second half stronger than the first half, based primarily on the expected growing revenue over the course of the year. In 2026, we expect our operating expenses to range between $260 million to $262 million. This outlook includes anticipated adverse impact from foreign exchange rates as compared to last year. Specifically, if these current exchange rates hold for the full year, we expect approximately $10 million of adverse impact on our operating expenses. Absent this factor and the full-year impact of increased tariffs, both of which are beyond our control, we would expect to deliver continued improvement in profitability for 2026. We expect operating income to be in the range of 0.7% to 1.5% of revenue, with the second half stronger than the first half, based on the anticipated rise in revenue throughout the year. We expect a GAAP net loss of $67 million to $83 million, or $0.76 to $0.95 per diluted share, and non-GAAP net income of $8 million to $12.5 million, or $0.09 to $0.14 per diluted share for 2026. Adjusted EBITDA for 2026 is expected to be in the range of 4.5% to 5% of revenue, or $25 million to $30 million. This range includes approximately $17 million of combined adverse impact from FX and tariffs, and therefore is not reflective of the higher profitability we would otherwise expect to deliver, particularly as we grow the top line. We expect our capital expenditures for 2026 to range between $20 million and $25 million. Finally, we expect to deliver positive operating cash flow for the full year, subject to uncertainty around FX and tariffs. With that, let me turn the call back over to Yoav for closing remarks. Yoav?
Yoav Zeif: Thank you, Eitan. As we begin 2026 and look toward the future, we do so with confidence in our strategic positioning and the fundamental underpinnings of our industry. Throughout 2025, we maintained the disciplined execution necessary to navigate challenging conditions while preserving our capacity to lead and increase profit when market dynamics improve. The progress we are making in our target industries of aerospace and defense, automotive tooling, dental, medical applications, and precision industrial components reinforces our conviction that we have built the infrastructure for durable, profitable growth. Customer engagement remains substantive and strategically focused, and we continue to see encouraging signals that adoption timelines, while extended, are advancing toward inflection. Our margin discipline and operational resilience have enabled us to protect profitability through the cycle. Combined with our strong balance sheet, this positions us to capitalize on inorganic opportunities that we continue to explore, to sustain our technology leadership through continued strategic investment in the innovations that will define the next era of digital manufacturing. As the industry leader with a comprehensive portfolio spanning systems, materials, and software, we have the capability, the customer relationships, and the financial foundation to capitalize on the significant opportunities ahead. Our penetration into high-value production applications continues to deepen, and we remain committed to maximizing long-term shareholder value as additive manufacturing’s role in global production expands. I want to close by acknowledging our global team. Their dedication, professionalism, and relentless focus on customer success continue to drive the engagement and trust that position Stratasys Ltd. for sustained leadership. We are excited about what 2026 and beyond holds for Stratasys Ltd. With that, we will now open for questions. Operator?
Operator: Thank you. The floor is now open for questions. Limit yourself to one question and one immediate follow-up. Again, that is star one to register a question at this time. First question is coming from Gregory William Palm of Craig-Hallum. Please go ahead.
Danny Eggerichs: Hey, thanks. This is Danny Eggerichs on for Greg today. Appreciate you taking the questions. Maybe we could just start with aerospace and defense, kind of the market that everyone wants exposure to right now. Any way to size up how big that market is for you? And kind of think about the growth outlook moving forward, especially with everything going on, increased spending, and like you said, some of these drone opportunities really starting to develop. So just feels like a really big opportunity there and just curious on how you are thinking about it on a larger scale?
Yoav Zeif: Thank you, Danny. Well, you know, we do not like wars. But over the years, Stratasys Ltd. developed the best polymer position in aerospace and defense by far. And what do I mean by position? It is all about having the right certifications to have parts, line parts, and parts that are being used in the field with a lot of experience, customer relationships, and programs that we are running with those customers. Just to give you a ballpark, aerospace and defense, before we talk about the future, is the highest contribution in 2025 to our use cases and to our vertical. This is the largest vertical and this is a great example of a high-requirement vertical where only companies like Stratasys Ltd. can do it. Because coming from the bottom with good-enough machines and printers is not good enough for qualified flying parts. And we have many trusted customers, and only on this call we mentioned Airbus, we mentioned Boeing, the two leaders in aviation. Now let us look at the future, what happened with the defense budget. It is a step-up change. It is a bit different across the globe because we are selling to defense both in Asia, in EMEA, and America. I would say that when we look at the opportunity, the U.S. is more advanced, and then Europe is committed to one ERDOF budget, but they are not there yet with programs. But it is coming. So I will take as an example the drones. We have experience with companies that are leading this industry like General Atomics. We are not coming to this new era of defense and trying to build our credibility and trust. We are already there. And when you look at the U.S., and just take the drone program, and our capabilities, both, by the way, in printing parts with Stratasys Direct Manufacturing, but also with certified parts, it is a major, major future for us, and we put all our resources on it and develop unique end-to-end solutions that will put additive as the main tool to build weekly drones both online, but also in the field. And this is sustainable. This is not something that is, okay, we do it now, and maybe tomorrow it will not be in place. It is a very sustainable, growing market for us because it comes from the high requirements, from the qualifications, from the certifications that we already have. As to the fact that unfortunately we have also a lot of experience with Israeli defense tech—successful experience—this is also another advantage, that we are bringing real field experience with parts, with additive parts, for a new era of defense.
Danny Eggerichs: Okay. Yes. That is all good stuff. Appreciate the color there. Maybe if I can just hit one last one on the guide here. It is good to see a return to growth expected for this year. But maybe specifically as relates to kind of the FX and tariff impacts, I think you said what was implied in the FX is kind of the exchange rates you are seeing today. But I guess both lumped in, are those both kind of assuming levels you are currently experiencing? Or is there any maybe worsening baked into those to provide a little level of conservatism? Just trying to get a feel for what to assume here if either of these kind of dynamics changes throughout the year? That is great. Yes.
Eitan Zamir: Thank you, Danny, for the question. Listen, I will relate to the question about FX and tariffs and just want to make sure that our investors and analysts understand. We wanted to explain, to touch on these two elements, because they are changes in 2026 relative to 2025, and we wanted to make sure that, you know, we separate between the fundamentals of the business and items like FX, specifically the shekel, that change over time. And in 2026, we see a very strong shekel that has a negative adverse impact on our results. But we wanted to also help you model how our results look like absent or excluding those items. With respect to the shekel, first, I will say that as part of our strategy, we hedge certain currencies, mainly the shekel and the euro, that are more significant to our financials, to our operations, with the Israeli shekel naturally depending on the levels of that currency at the point of time that we try to hedge it. For 2026, if you check very quickly online, you will see that the shekel is at the strongest and the highest level for quite many years. So it is not the time to hedge it. During 2026, as the shekel weakens relative to the dollar, we will consider and may put hedges in place that will improve 2026 relative to the guidance that we provided you today. And we wanted to share with the audience to be able to model its properties.
Operator: Thank you. The next question is coming from James Andrew Ricchiuti of Needham & Company. Please go ahead.
James Andrew Ricchiuti: So appreciate the detail on the manufacturing business for 2025. Yes, it looks like that business, the manufacturing business, based on the percentages you gave, was flat year over year versus 2024. And just given the use cases you highlighted, I would have thought it would have been a bit better. So how do you see that going forward?
Yoav Zeif: Thank you, Jim, for the question. So what we are experiencing here—and by the way, you are right—when we are looking at overall, we are a bit higher than flat. But what we are experiencing here is practically a change in the market. So we are investing with programs with our customers, high-end customers, in those high-end, high-requirement applications like aerospace and defense, like dental, like medical, like tooling, and those customers, except for aerospace and defense, have a whole portfolio. Part of the portfolio is our key use cases. All of them grew. When I am saying use cases, it is a specific application, like tooling for automotive. Drones—we have a set of things for aerospace and defense. Aerospace and defense, as I said, their whole vertical grew. But there are also other parts that are not part of the use cases, but they are part of manufacturing and part of the vertical. Capex constraints, by the way, mainly in industries like automotive. And when you have some that the uncertainty did not do good for them, then you see some type of balancing. But overall, the target markets, all of them grew. And then you have the whole portfolio, manufacturing, and if it is enough—when we have a large installed base, in some part of the installed base there is less utilization or less capex—but it is not the mainstream, it is not the target market. But still, we grew. Not a lot, but we grew. So I am very optimistic. We will keep consistently growing the ratio of our sales to manufacturing, I have no doubt about it. Because we are focusing on the right thing, and we have the right programs with our customers. Another significant effect that was on our sales to manufacturing was the shutdown of the government. The shutdowns of the government in H2 had an impact on the pipeline; all those large deals were to manufacturing. And we also mentioned those large deals in previous calls. But I have no doubt that they will come back. They were only pushed forward, nothing was dropped. Even despite the macro headwinds, despite the shutdown, despite some industries with challenging capex constraints, we grew. Not a lot, but we grew.
James Andrew Ricchiuti: Okay. So we are about, what, a little over two months into Q1. I am wondering if you could give us a sense as to the demand trends you are seeing, and maybe just how to think about the sequential, the seasonal—normally you see some seasonality in Q1—any color on that?
Eitan Zamir: Yes, for sure. So as we wrote in the guidance, we are seeing sequential growth over this year. And the sequential growth—by the way, in general, our Q1 is the weakest quarter of the year. This is historically right because Q4 usually is a stronger one. When we decided and we planned the year and we reflected it in our guidance, it is clear what is going to happen over the year from our perspective. Of course, you never know about uncertainty and things like tariffs and wars and all this. But when we look forward, we see better government and defense demand. We see it now; we started to see it in Q1, by the way, but there was this small shutdown, and probably we have some type of impact. We also see the plan of launching new products, most of them in H2, so you will not see significant effect in Q1 and Q2, but those are really promising products addressing our use cases. And we have some new businesses that we acquired, the most important one is XSTRAND and the Forward AM portfolio. We bought them from insolvency. Practically they were not operational, but we ramp them up during the year. So when you combine all this, you will see sequential growth quarter over quarter over quarter, with Q1 solid, but most of the growth will come as we move through the year.
Operator: Thank you. The next question is coming from Brian Drab of William Blair. Please go ahead.
Brian Drab: Hey, good morning. Thanks for taking my questions. First one, just—I think you made this clear, but I just want to really make sure—the midpoint of guidance implies about 3.5% revenue growth and the midpoint of the guidance ranges implies about 4.5% growth in OpEx in 2026. And is that increase in OpEx related—can you kind of break down what that incremental OpEx is associated with? Is it mainly the shekel and the tariff impact? Or are there other modest series of, you know, like, areas of modest investment that are happening in '26?
Eitan Zamir: Thanks, Brian, for the question. So the answer is quite simple. As you may recall, we introduced in the last couple of years a few cost-saving programs that saved significant—two, three, four years ago—OpEx levels. If you go back to 2020, you know, we were a company of, you know, close to $300 million OpEx a year, and we are down in 2025 to actual OpEx of $250 million. The main increase, almost the only increase year over year for 2026, is driven by the shekel. That is why we also highlighted this today. And that is something that we consider naturally as temporary in nature relative to the FX cycles over time.
Brian Drab: Got it. Thank you. And can you just clarify exactly what you mean by mix when you talk about mix in the context of margin headwind that you saw in the quarter?
Eitan Zamir: Sure. So mix can be driven by two elements. It could be a mix within hardware revenue—we have systems that come with very high gross margin, and we have systems that are still in the ramp-up or less mature than others that come with slightly lower gross margin. So that is one type of mix. And it is also the mix between hardware, consumables, and services that come with different gross margins. Now, as you may recall, we have a huge portfolio of hardware, consumables, and as well the services. So it is a matter of changes within the products, but nothing significant.
Brian Drab: Okay. Okay. Thank you very much.
Operator: Thank you. The next question is coming from Troy Donavon Jensen of Cantor Fitzgerald. Please go ahead.
Troy Donavon Jensen: Hey, gentlemen. It is actually Cantor, FitzGerald, as you know, but congrats on the good execution here in 2025. Maybe a quick follow-up on Jim's question earlier just about the production applications. I have always been told that material pricing is just the biggest variable. I would just be curious if you guys feel like that is any type of a headwind in the adoption of additive or FDM in production. And tie it into material sales where, you know, down year over year this year and, you know, is that a function of utilization or pricing?
Yoav Zeif: Maybe I will start and then Eitan can add on the material sales. But let us start with a bit of perspective, and thank you for the question, Troy. Our strategy is very clear. We go and we are growing in high-value, high-requirement use cases. We have five like those, within verticals that we believe are the verticals where Stratasys Ltd. is shining. Shining means we are the leader, to be honest. And our key manufacturing use cases are the aerospace and defense, dental, medical, tooling, and some industrial applications. And we grew significantly in those key four that I mentioned. Significantly. In 2025. Now add to it our execution capabilities and any change in the market, we are ready. Because we have the leadership position in terms of the technology and the solution and the ability to deliver to our customers. And, also, by the way, when you talk about execution capabilities, it is a good time for capturing value-creation opportunities. And once we see those, and this pent-up demand exists—how do I know? Because what we see, and I did not mention it to Jim, but it is important. For the last three quarters, we see a decline in our sales cycles. What does it mean? That when we look at closed-won, the deals that we closed, and we ask ourselves, on average, how long it took us to close those deals, there is a decline in the sales cycle, which, by the way, till mid-2025 from 2022 were just increasing. So there is a demand there. It is coming. We are well positioned to be there. And the fact that we kept our position in manufacturing and growing it in the key use cases is also being reflected in our guidance because we are saying this year we will move from decline to growth. And look at our history, when we are saying something, we do everything to meet it. Because our guidance is saying there is a shift in our industry from rapid prototyping to manufacturing. We are leading this shift. We are improving profitability, and I will relate to your question about profitability and materials. And as a result, we will have better EBITDA. The fact that we are adjusting for $17 million for tariffs and FX, this is really an exception because of the situation, the geopolitical situation, and what we are experiencing now. But it is not sustainable. It is not the real value of the shekel. And tariffs will be different long-term. When I am looking at those use cases and I am asking, okay, what is the future? The future is significantly higher utilization. A machine that is standing in one of our large corporate customers like GM—or choose any—or Boeing or any manufacturing customer, is consuming between seven to twelve times more than an average rapid prototyping printer. And we have the data because we collect the data. So, and maybe we need to sell it a little with lower prices. But to be honest, there is no pressure there because those applications are so unique. They are coming with the part of certified—you need to go through sometimes three or four years of qualifications—and then there is no alternative. The customers know about the price, and the price if you print a part in a missile is not a real factor. And we are the leader in those areas, especially in aerospace and defense. And our secret weapon, going back to how we are penetrating there, is the customer relationships that we have in those areas. Customer relationships, I mean trust and credibility. From their perspective, we are the most reliable provider. Just lately, with the customer advisory board, one year of work together with our customers will increase our reliability by 22% of our largest machine. Because we are focused on manufacturing. And the other factor of our secret weapon is our teams. Because no doubt the industry is going through a change—this shift to manufacturing. But we have the right teams to adapt on time. Back to your question, material—if you focus on the high-performance material, higher utilization and all the value is there. Maybe another important data point: you look at the material, the overall additive manufacturing polymers, 70% of the volume of material is low-end consumer entry-level machines. But it is only 20% of the value. We are a value player. We want to capture the 80% of the value. I hope it was comprehensive enough.
Troy Donavon Jensen: Yeah. Thank you very much, gentlemen. Good luck this year.
Yoav Zeif: Thank you.
Operator: Thank you. The next question is coming from Alek Valero of Loop Capital Markets. Please go ahead.
Alek Valero: Hey, guys. Thank you for taking my question. My first question is, last quarter you mentioned the large tech company purchased four F3300s for prototyping with plans to move to production. Have they placed any follow-on orders? And have they started the transition yet? Any update there? Thank you.
Yoav Zeif: That is a great question. Thank you for the question. Unfortunately, we cannot share because this is confidential. I can just say that they are very happy with the solution. And we cannot share anything that they are not approving in advance.
Alek Valero: Got it. No, understood. I guess my follow-up, on SaaS, I saw that you launched the PA12 qualification with Boeing, Raytheon, and a few others last month. I just wanted to ask, what is the time to completion there? And how do you size the revenue opportunity?
Yoav Zeif: It is a large revenue opportunity. We usually do not disclose exactly. It is a large revenue opportunity. Those are the programs, and this is only one out of many programs that we have with those large customers, because we listen to them, we sit with them, they share with us their needs, and then we launch a program. Some programs are more on software, some on materials, some on hardware. And it is a large opportunity, and the qualification also depends on the class of the part. So there are different classes of parts, and it takes different timeframes, durations to qualify the part. It can go from one year to three years.
Alek Valero: Got it.
Yoav Zeif: Thank you.
Operator: Thank you. At this time, I would like to turn the floor back over to Dr. Zeif for closing comments.
Yoav Zeif: Thank you for joining us. Looking forward to updating you again next quarter.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.